:
Operator: Welcome to Carter’s third quarter conferece call. On the call today are Fred Rowan, Executive Officer, Joe Pacifico, President and Mike Casey, Chief Financial Officer. After today’s prepared remarks we will take questions as time allows. If you have any follow-up questions after today’s call, please direct them to Eric Martin, Vice-President of Investor Relations. Mr. Martin’s direct telephone number is (404) 745-2889. Carter’s issued its third quarter earnings press release yesterday after the market close. The text of the release appears at Carter’s website at www.carters.com under the press release section. Before we begin, let me remind you that statements made on this conference call and in the company’s press release, other than those concerning historical information should be considered forward-looking statements and actual results may differ materially. For a detailed discussion of factors that could cause actual results to vary from those contained in the forward-looking statements, please refer to the company’s most recent annual report filed with the Securities and Exchange Commission. Also, on this call the company will reference various non-GAAP financial measurements. A reconciliation of this non-GAAP financial measurements to the GAAP financial measurements is provided in the company’s earnings release. Now I would like to turn the call over to Mr. Rowan.
Frederick Rowan: Good morning. We are pleased with the progress we made during our third quarter. We position our company well before the quarter to concentrate on certain vital initiatives that would fix problem areas and lay the groundwork for restoring us to high quality growth. Those initiatives are recruit and retain key talent, fix the operational issues affecting our retail stores, fix the OshKosh product value, make every core product in all our brands significantly more competitive, make our wholesale customers more profitable and raise the level and breadth of investments. We have made lots of progress in each. The benefits are being tempered somewhat by market conditions. I think any logical thinker would admit that this marketplace is still uncertain and that all levels of distribution are feeling the effect of reduced consumer traffic. Nevertheless, we take some comfort in the fact that we can make up ground correcting the mistakes we made in ’07 which were not market related. They are lack of sufficient inventory in our stores, miscues and lack of key management skills, poor retail execution, and mispositioning the OshKosh product value. We also benefit in that we have brands whose templates are core essential high value products. We have organic growth in each brand and all channels of distribution. We will begin the section today by walking you through the details of our progress, beginning with Joe Pacifico and then Mike Casey, and as usual we will have plenty of time for Q&A.
Joseph Pacifico: Thank you Fred. At a consolidated basis, our sales in the company were plus 5% in the third quarter. In the quarter we achieved positive revenue growth in five out of our six business segments. Our strategy of having a balanced portfolio of strong young children’s brands, multiple distribution channels, and essential core products delivered good results in a difficult environment. Overall, we are pleased with our results and feel good about the ongoing potential in each of our businesses. Our Carter’s wholesale and mass businesses performed well and we saw a good improvement in the Carter’s retail business. Turn OshKosh’s product performance, as expected, is not good. We have targeted spring and summer ’08 to begin the turnaround. The progress at the floor that we measured in the first few months of 2008. I will now walk you through the performance of each of our brands on a standalone basis covering third quarter performance, our expectations for the remainder of the year and our outlook on the first half of 2008. Start with Carter’s wholesale. Another good quarter at Carter’s brand wholesale, excluding off price, we have finished +7 overall. Baby was +16, sleepwear +7, playwear was a -7, which is due primary to the timing of fall shipments. When you combine quarter two and quarter three, we were +9 in playwear. For the balance of the year, we are projecting the fourth quarter will be +3% and that is due to the timing of shipments with the retailer’s calendar shift. More of our spring orders are falling into quarter one of ’08, versus quarter four that we had last year. For the year, we continue to project baby +8 to 12, sleepwear flat, and playwear +8 to 12, leading to +7% overall growth in line with our guidance, and another strong year in wholesale. Based on spring orders we are forecasting positive revenue growth for the first half of ’08 in all three product markets in line with our plan of +6 to +8%. Most of that growth will come in the second quarter. Baby should continue its strong performance with sales of 8 to 10%. We expect to playwear to follow suit at 8 to 10%. We are estimating sleepwear will grow 3 to 5. Sleepwear is still our most challenging product market. We put this business under the leadership of our baby team and are incorporating stronger creative with younger looks, more mainstream color pallets and reduce style complexity. This teams’ first line will be Fall 2008. In addition to our anticipated top line performance in Spring’08, we expect each business will be more profitable to the retailer presenting with higher margins and that each of the businesses will also be more profitable for Carter’s with higher product margins than last year. This is due in large part to our having lower cost which was driven by sourcing leverage and a significant reduction in complexity. OshKosh wholesale, quarter three performance. We had a good quarter with sales up 10. We were affected favourably by the retailer calendar ship and the timing of fall shipments after being impacted negatively in quarter two. We continue product sales guidance of +4 to +6 in the second half and we will finish the year down 10%. We anticipate product performance to continue to be a challenge until our spring line gets to the floor. We devoted a lot of attention to the Spring ’08 line. For this line, we are focused on key items. The younger art and color versus previous lines, we have lowered our prices over 10% to both retailer and the end consumer in order to increase velocity. We improved our initial customer margins. We are investing in better branding at on the floor. We reduced complexity by more than 20% the amount of style of colours. At the same time we have lowered cost which should lead to improved internal markets. For spring, we achieved double-digit unit growth and orders which should translate to dollar sales growth of approximately of 8 to 10% on top of strong margin growth. We are now currently showing our Summer ’08 line. We reviewed these with consumers, very positive feedback. We believe it is a much improved offering than last year and even an improvement to the Spring ’08 line. We expect strong double-digit unit bookings growth which should translate to double-digit sales and margin growth. The mass channel. As we guided, the mass channel saw a growth of +2% in quarter three. This brings us to +10% for the year-to-date for each of the brands and we continue to project the consolidated mass channel of +10 for the year. For the quarter our business at Target was good and our sales dollars were +7%. At Wal-Mart, Child sales were down 1%. We are disappointed with the Child of Mine quarter three results despite being in line with our expectation. Business was difficult for the combination of the following reasons. Wal-Mart is struggling from reduced traffic; product performance in several of our programs did not hit our plan and Wal-Mart’s tighter inventory initiatives. We are aggressively addressing these issues by elevating our product benefits with no increase of prices and in some case actually lowering prices. We are lowering their inventory requirements with no deterioration in service. We have the ability to lower our cost thus enabling us to maintain margin quality. Until we can quantify all of these action plans, we are accordingly taking a more conservative view on fourth quarter sales. For the first half of ’08, we are projecting consolidated mass channel growth of +8 to +10%. Carter’s retail. I will first discuss the Carter’s side of the business followed by OshKosh and an outlook of ’08 for both brands. Solid performance for Carter’s in quarter in a very difficult environment. We had overall revenue increase of +9.6% and a comp increase of 4.1%. We now have had positive comps in each of the last five months in addition to each quarter this year. By product category, baby comped up 20% and accessories are up 13%. Sleepwear in total was a -3.8 for the quarter but +30 in Fall product. Playwear in total was a -6.4 for the quarter but +2 in Fall product. We missed sales by having low inventory in Spring sleepwear and playwear which would have driven clearance sales in July and August. Our Fall product performed, our miss really was in not having enough inventory in Spring carryover. Heading into quarter four, we are in good shape regards to inventory. We have the appropriate inventory levels that are needed to drive the business. That being said, we still have opportunity to maximize efficiencies in the planning and allocation of inventory, especially on a per door basis but feel good that we have the inventory necessary to drive the business. We can no longer use this as an excuse. Talk about OskKosh retail. Comps for the quarter were -5 which led to total revenue being flat to the prior year. As I stated earlier, our focus is Spring ’08 product which is much improved. We are confident we have found the right prices to drive unit velocity and have impacted costs to support this strategy. We have opening price points to the Spring mix which should continue to contribute to total revenue and strengthen our offering making us more competitive and also providing more product to the value conscious consumer. Going forward, our plan is, number one, increase the volume of key items. Two, deliver a high percentage of denim in our mix. Boys denim is working very well for fall and we feel we will have a much stronger assortment and selection in girls going in the spring. Increase the percentage of product in everyday low pricing and improve the store environment, fixtures, product displays, photography, combine with more dynamic seasonal floorsets, execute more impactful consumer promotions and restore inventory to appropriate levels. Retail for the first half of ’08. I feel very good about our business for several reasons. Jim Patty is doing a good job. We made a number of changes in leadership that will impact this business. We have a new senior VP of Stores. We have a new senior VP of Planning and Allocation. We have a new GM at OshKosh. We have a new VP of Marketing. We now have strong hands-on leadership in each functional area. Execution is better and we will continue to improve. We feel confident that Spring product in both brands are better especially in OshKosh where product has been the primary issue behind our results. We believe our product and price clarity is much improved, inventory is better, more impactful consumer marketing initiatives for both brands and enhancing the in-store environment. Based on our team and initiatives, I am confident you will see improvement in sales and margin in 2008. In closing, we are pleased with our performance during a challenging third quarter retail environment. Our business is driven by powerful mainstream consumer brands. Our focus is core essential products differentiated by colour and art with value pricing and distributed through a multi-channel strategy. We reach consumers where they want to shop. Because of our value proposition and our strong consumer following, we are well positioned to succeed in the difficult retail environment. 2007 has been a year dedicated to turning around our retail business and improving the OshKosh product. As I have said, I am very pleased with the progress that has been made. The Carter’s retail results and OshKosh spring bookings serve as evidence. A lot of hard work has been put into these endeavors and I am confident we will be pleased with the results of the ongoing intention and improvements to each. We are very optimistic that we will achieve +6 to +8 consolidated revenue growth in the first half of ’08 based on our initiatives and based on the people we have in place across all functions of our company. I will now turn you over to Mike Casey.
Michael Casey: Thanks, Joe. Good morning everybody. Last night, we reported our third quarter results which were in line with our guidance. Sales for the third quarter were $411 million of 5% the last year and at the midpoint of our guidance. Third quarter earnings were 58 cents per share, up 2% to last year and a penny better than our guidance. In terms of sales growth for the third quarter by segment, Carter’s, on a standalone basis, represented nearly 80% of our third quarter sales and increased 5% to $320 million. OshKosh sales were $91 million, up 3% to last year. Our mass channel sales were $68 million, up 2% to last year and we are in line with guidance. Keep in mind our second quarter mass channel sales were up 16% due primarily to the timing of brand low launches. Year-to-date mass channel sales were up 10% and expected to be up 10% for the year. With respect to profitability, our consolidated gross margin in the third quarter was 35.5%, again, in line with guidance and 210 basis points lower than last year due to OshKosh product performance and related markdowns in the retail segment. Gross margin in our OshKosh retail segment decreased from about 50% last year to 40% this year. That erosion in margin quality impacted third quarter earnings by $6 million or 6 cents per share and lowered our consolidated gross margin 150 basis points. Demand for customer combinations in our wholesale segment was also higher than last year given the promotional environment and cost us about 50 basis points in gross margin. With respect to spending in the third quarter, SG&A was in line with our guidance at 100 basis points better than last year. The improvement in SG&A reflects our control over discretionary spending including reducing our provision for incentive compensation. SG&A for the quarter includes $3 million of reorganization charges which were $2.5 million more than last year and $1 million higher than we had assumed in our previous guidance. In the third quarter we executed a planned upgrade of key positions in our retail business. We also elevated certain people in other functions to further strengthen the organization. Part of this reorganization included reducing our corporate workforce by about 50 people or about 5% of the workforce. The annual savings from this work force reduction is about $8 million, a good portion of which will fund the investment in our new retail team. Our fourth quarter estimates included additional $2 million of reorganization charges which were not included in our previous guidance. For the year, we will invest about $8 million in reorganization. That is twice what we spent last year and $3 million or $0.03 more than our previous earnings guidance. With respect to our licensing business, our royalty income for the quarter was up about 11% to last year. We had good growth at both Carter’s and OshKosh and in the third quarter our operating margin was 14.7% that is in line with guidance and down a 100 basis points from last year driven largely by the decline in gross profit in our OshKosh wholesale and retail segments. Our interest expense for the third quarter was down 8% to last year driven by a $28 million or 7% reduction in average borrowings. In terms of liquidity, earlier this year, our board of directors authorized $100 million share repurchase plan. Through the end of the third quarter, we used $47 million of excess cash to repurchase approximately 2 million shares of our stock or 3% of our outstanding shares on an average price of about $24 a share. We plan to continue repurchasing shares during the balance of the year. The benefit from the share repurchased this year will be at least $0.02 per share. Cash flow used in operations in the first 9 months was about $39 million compared to $5 million last year. This change in cash flow reflects the build in inventories. Our inventories at the end of the third quarter with $247 million , up 23% to last year and in line with guidance. As we have discussed on previous calls, we ran too lean on inventories last year and that had a negative impact on our retail business. At the end of September last year, our inventories were down to 5% to the previous year. A better way to view our inventory growth this year is over 2-year period. On that basis, our average growth in inventories at the end of this September is about 8%. Given the strength of our baby product we are carrying higher levels of safety sock for baby inventories and doing a better job of supporting higher demand. Our retail inventories on a per door basis at Carter’s are up about 3% to last year. OshKosh inventories are up about 11%. We are doing a much better job flowing inventories to our retail stores. We expect our inventories at the end of the year will be up about 20% compared to the end of 2006, again in line with previous guidance. This is average growth over the past 2 years of about 10%. Capexfor the first 9 months was about $13 million primarily for retail store openings and system upgrades. We expect Capex for the year will be about $30 million or 2% of sales. That is consistent with guidance and historical levels. We ended September with about $22 million outstanding on our revolver and we cleaned up the revolver in mid October. With respect to guidance, our year-to-date result including non cash charge of $2.59 per share related to the impairment of OshKosh intangible assets which we took in the second quarter. Our year-to-date results also include charges $0.08 per share related to the closure of our distribution centre in Tennessee earlier this year. I will comment on our fourth quarter annual guidance excluding these charges which we have outlined in our press release. Given the current retail environment and the impact of additional reorganization charges, we expect to achieve the low end of our previous earning’s guidance for the year which is $1.42 per share on sales of $1.407 billion. Our fourth quarter earnings are expected to be $0.50 per share on $388 million in sales. As Joe mentioned, we have taken a more conservative view on fourth quarter sales relative to our previous guidance. We have lowered our fourth quarter sales estimate by about 3% to reflect our latest forecast for the Carter’s wholesale and mass channel segments. For our Carter’s brand, we expect fourth quarter sales will be $291 million up 3% to last year. Carter’s wholesale sales excluding off price sales are now planned up 3% in fourth quarter and up 8% for the year. Mass channel sales are now planned up 9% in the fourth quarter and up 10% for the year. Carter’s retail sales are planned up seven percent of fourth quarter with comps flat up 2%. Carter’s retail store sales are expected to be up 8% for the year and comps are expected to be up 2%. That brings total estimated sales for Carter’s on a standalone basis to $1.089 billion up 7% for the year. For OshKosh, we expect fourth quarter sales would be $97million up 2% compared with fourth quarter of last year. OshKosh’s wholesale sales excluding off price sales are planned up 2% in the fourth quarter and then 9% for the year. OshKosh retail sales are planned up 3% in the fourth quarter with comps down 2% to 4% due to the fall and Holiday Profit Performance. Total sales for OshKosh retail stores will be up about 2% for the year with comps down 4% - 5%percent. That brings a total estimated sale for OshKosh for the year to $318 million down 2% from 2006. On adjusted basis we expect our consolidated gross margin in the fourth quarter will be 35.9%, down 10 basis points compared to the fourth quarter of 2006 due primarily to the lower margins from the OshKosh business segments. That brings adjusted gross margin for the year to 34.6%, down a 180 basis points compared to 2006 and in line with our previous guideline. We expect SG&A will be 70 basis points better in the fourth quarter in the year, reflecting control of discretionary spending and lower incentive compensation provisions. In the fourth quarter, royalty income is expected to be $8 million, up 7% to last year, up 6% for the year. On an adjusted basis we expect our consolidated operating margin in the fourth quarter would be 13.9%, up 70 basis points compared to the fourth quarter of 2006. That brings our consolidated operating margin to 11.3% for the year, down 100 basis points to last year and 20 basis points lower than our previous guidance due largely to the reorganization charges. Interest expense for the year is expected to be about $24 million, down 12%. With respect to cash flow. Cash flow from operations is expected to be about $50 million for the year consistent with our previous guidance worth semi depreciation and the amortization of $32 million for the year and an effective tax rate of 37% excluding the impact of the impairment charge. Our diluted share count for the year is expected to be 60.3 million shares. That concludes our business update and we will open for your questions.
Operator: (Operator instructions) We will go to Robert Ohms, Bank of America Securities.
Robert Ohmes – Banc of America Securities: Thanks. A couple of quick follow-up questions. The first question, I just was hoping we could get a little more detail on the inventory levels versus your forward sales growth guidance and just how does it break out retail Carter’s versus OshKosh and then you talked about an increase in back stock and baby, is that a wholesale increase or is that to support the retail stores and I guess what I am looking for is connecting the, I know the inventories were low last year but you brought them back up and beginning at the end of the second quarter, you would be looking for more powerful revenue growth acceleration and I am wondering why we have not seen that. If you just walk us through that. If you just walk us through that and then the second question I think I have missed, Mike, in your comments on people investment in ’08 $0.03 and can you just give us some more detail on that as well. Thanks.
Michael Casey: The important thing to understand on the inventories, we were under inventory last year and certainly in our retail stores and that had a significant impact in our performance starting in the second half of last year. So, we have been looking at the inventories as we looked at the inventory models when we saw that they would be up 20% at the end of the third quarter, and end of the year, we dug into it and we are very comfortable at where we are. We are supporting our retail stores with a better flow of inventory. If you break it down it, we are probably carrying about $30 million more than what you had ordinarily expect in inventory and I’d break that into three pieces. And then the last component, the final third of the increase in inventories, I would attribute to better supply chain performance. We had a key supplier last year who ran into some issues and we were delayed getting playwear product to our customers and our shipping performance year-over-year is much better than it was a year ago. So we would attribute our performance in this quarter in a very difficult environment to the fact that we are carrying a better inventory position. We are not concerned, I think as a company our inventory position has never been better and so we are in good shape as we head into the balance of the year but I think as you analyze the inventory you absolutely have to give consideration to the fact that we were under inventory last year. You had a question in terms of investments and as I said in my notes, the investment in reorganization charges is twice what we spent a year ago. In terms of the people investment, the focus has been on the retail business. As Joe mentioned, we certainly have a terrific new leader in Jim Patty and Jim has helped us beef up and upgrade all the key positions including the senior VP of store operations. We have a new senior VP of Planning and Allocations and that is an area that has hurt us significantly getting the right product to our stores. We have a new head of marketing, we have new GM for the OshKosh retail segment. We have a new senior design director for OshKosh girls business where we have been struggling and we are close to having a new merchant for OshKosh. So the investments in people have been significant particularly in the third quarter and we are making higher provisions in the fourth quarter for that as well. And then the last component, the final third of the increase in inventories, I would attribute to better supply chain performance. We had a key supplier last year who ran into some issues and we were delayed getting playwear product to our customers and our shipping performance year-over-year is much better than it was a year ago. So we would attribute our performance in this quarter in a very difficult environment to the fact that we are carrying a better inventory position. We are not concerned, I think as a company our inventory position has never been better and so we are in good shape as we head into the balance of the year but I think as you analyze the inventory you absolutely have to give consideration to the fact that we were under inventory last year. You had a question in terms of investments and as I said in my notes, the investment in reorganization charges is twice what we spent a year ago. In terms of the people investment, the focus has been on the retail business. As Joe mentioned, we certainly have a terrific new leader in Jim Patty and Jim has helped us beef up and upgrade all the key positions including the senior VP of store operations. We have a new senior VP of Planning and Allocations and that is an area that has hurt us significantly getting the right product to our stores. We have a new head of marketing, we have new GM for the OshKosh retail segment. We have a new senior design director for OshKosh girls business where we have been struggling and we are close to having a new merchant for OshKosh. So the investments in people have been significant particularly in the third quarter and we are making higher provisions in the fourth quarter for that as well. And then the last component, the final third of the increase in inventories, I would attribute to better supply chain performance. We had a key supplier last year who ran into some issues and we were delayed getting playwear product to our customers and our shipping performance year-over-year is much better than it was a year ago. So we would attribute our performance in this quarter in a very difficult environment to the fact that we are carrying a better inventory position. We are not concerned, I think as a company our inventory position has never been better and so we are in good shape as we head into the balance of the year but I think as you analyze the inventory you absolutely have to give consideration to the fact that we were under inventory last year. You had a question in terms of investments and as I said in my notes, the investment in reorganization charges is twice what we spent a year ago. In terms of the people investment, the focus has been on the retail business. As Joe mentioned, we certainly have a terrific new leader in Jim Patty and Jim has helped us beef up and upgrade all the key positions including the senior VP of store operations. We have a new senior VP of Planning and Allocations and that is an area that has hurt us significantly getting the right product to our stores. We have a new head of marketing, we have new GM for the OshKosh retail segment. We have a new senior design director for OshKosh girls business where we have been struggling and we are close to having a new merchant for OshKosh. So the investments in people have been significant particularly in the third quarter and we are making higher provisions in the fourth quarter for that as well. And then the last component, the final third of the increase in inventories, I would attribute to better supply chain performance. We had a key supplier last year who ran into some issues and we were delayed getting playwear product to our customers and our shipping performance year-over-year is much better than it was a year ago. So we would attribute our performance in this quarter in a very difficult environment to the fact that we are carrying a better inventory position. We are not concerned, I think as a company our inventory position has never been better and so we are in good shape as we head into the balance of the year but I think as you analyze the inventory you absolutely have to give consideration to the fact that we were under inventory last year. You had a question in terms of investments and as I said in my notes, the investment in reorganization charges is twice what we spent a year ago. In terms of the people investment, the focus has been on the retail business. As Joe mentioned, we certainly have a terrific new leader in Jim Patty and Jim has helped us beef up and upgrade all the key positions including the senior VP of store operations. We have a new senior VP of Planning and Allocations and that is an area that has hurt us significantly getting the right product to our stores. We have a new head of marketing, we have new GM for the OshKosh retail segment. We have a new senior design director for OshKosh girls business where we have been struggling and we are close to having a new merchant for OshKosh. So the investments in people have been significant particularly in the third quarter and we are making higher provisions in the fourth quarter for that as well. And then the last component, the final third of the increase in inventories, I would attribute to better supply chain performance. We had a key supplier last year who ran into some issues and we were delayed getting playwear product to our customers and our shipping performance year-over-year is much better than it was a year ago. So we would attribute our performance in this quarter in a very difficult environment to the fact that we are carrying a better inventory position. We are not concerned, I think as a company our inventory position has never been better and so we are in good shape as we head into the balance of the year but I think as you analyze the inventory you absolutely have to give consideration to the fact that we were under inventory last year. You had a question in terms of investments and as I said in my notes, the investment in reorganization charges is twice what we spent a year ago. In terms of the people investment, the focus has been on the retail business. As Joe mentioned, we certainly have a terrific new leader in Jim Patty and Jim has helped us beef up and upgrade all the key positions including the senior VP of store operations. We have a new senior VP of Planning and Allocations and that is an area that has hurt us significantly getting the right product to our stores. We have a new head of marketing, we have new GM for the OshKosh retail segment. We have a new senior design director for OshKosh girls business where we have been struggling and we are close to having a new merchant for OshKosh. So the investments in people have been significant particularly in the third quarter and we are making higher provisions in the fourth quarter for that as well.
Fred Rowan: In addition to some procurement on new people, we have promoted a number of qualified people here recently. We spent a lot of time on retention making sure we do not lose important people as we restore this business. They have gone in some cases to a flatter organizational structure where we make decisions a lot quicker. Joe mentioned we have put the sleepwear under our baby leadership which is super competent team. So I think overall we have looked at this to macro level as well not just filling in some key spot
Robert Ohmes – Banc of America Securities:
Fred Rowan:
Robert Ohmes – Banc of America Securities: Great, thanks a lot.
Fred Rowan: You are welcome.
Operator: We will go next to Brad Stephens, Morgan Keegan.
Brad Stephens – Morgan, Keegan & Company, Inc.: Hey guys, good morning.
Fred Rowan: Good morning.
Brad Stephens – Morgan, Keegan & Company, Inc.: Historically, I know you have targeted SG&A to grow at two thirds the rate of sales but next year you are putting the variable compensation back into the business. So, shall we expect next year to be at two thirds the rate of sales?
Fred Rowan: I am going to hold off giving you any specifics on an ’08 model but suffice to say we will continue to manage the growth and spending at a rate that is not in excess of the growth in gross profit dollars. The big opportunity for next year is a turnaround in that retail business. You got to keep in mind where we got off track. We got off track in terms of retail leadership and execution issues, we have a terrific new leader and with a far better team, as Joe said, we are seeing better results from better execution. We also got off track by how the OshKosh brand was positioned and that is being positioned differently beginning with Spring 2008, so that is why we are encouraged by the moves that we have made this year to position us better for ‘08.
Brad Stephens – Morgan, Keegan & Company, Inc.: In your fourth quarter guidance of gross margin down 10 basis points, what is implied for the degradation of OshKosh margins in Q4?
Michael Casey: We are going to expect to continue to see that we are going to struggle there, so we get that product behind us and move in. We do not want to be so specific on each of those, based on the segment profitability, that is the information I could probably give you is our view on what we have ultimately put into segment profitability that at gross margin side OshKosh, a year ago, in wholesale had probably a 23% gross margin and it is probably closer to 10. And that is based into the guidance and OskKosh retail last year was around 45%. And we are assuming that it will grow probaly close to 38, that is what has been holding us back. And that’s an issue we are expecting to see improvements next year.
Brad Stephens – Morgan, Keegan & Company, Inc.: All right, then last question on the mass channel, you said 8% to 10% in the first half of next year, is that the go forward rate or do you expect to get some things straightened at Wal-Mart and we get back to Ted and hopefully a little bit better, longer terms there?
Joseph Pacifico: Yes, 8% to 10% for the first half and we expect it to get better. We have put a lot of plans and action, it is hard to quantify them right them now but we definitely think that has more potential, more upside.
Brad Stephens – Morgan, Keegan & Company, Inc.: Alright. Good luck, guys.
Joseph Pacifico: Thank you.
Operator: We go next to Brian McGoff of Morgan Stanley.
Brian McGoff – Morgan Stanley: Yes, hey guys, thanks a lot. Just have a question on your investment spending, a follow up on what Robby had on, but your sales on the quarter grew about 5%, your SG&A grew less than 1%, if I exclude the reorg cost it looks like SG&A was actually down. So you have noted a lot of the reinvestments of this cost cuts into other parts the organization. But net, net it still sounds like the SG&A base is coming down. When some might argue that in a tough environment it should actually go up, so I guess I am wondering what is your confidence level from a long term standpoint that you are reinvesting enough back into the business in order to reaccelerate growth on the sustainable basis?
Michael Casey: Brian, from our point of view, we have been investing in the business. We have been investing in the business for years. Our style has always been earn and invest and because the earnings were going to be off this year we wringed in spending where we could. I would tell you there is no investment that we believe is important to grow this business that we have not funded. As we said before, there were two areas where we go to off track, that was in retail and then in OshKosh. Both of which we have taken the time needed this year to get better performance beginning next year. But I would tell you that the for our company the way we have historically invested like I say, the level of those investment was much higher this year. It was funded from among other things incentive compensation but we view that as a bonus. You do not get it unless you earn it. We will fund that as we earn it next year.
Brian McGoff – Morgan Stanley: So it sounds like high competence level?
Michael Casey: We do, yes.
Fred Rowan: We have also begun to invest heavily in research which we had not done and we are invested in understanding each of these brands more. And we have done this facts research, completed that, finding the optimum price and margins thresholds for each of every core product under our brands. We have begun online consumer surveys, we are doing consumer panels on every one of our product lines and you cannot understate the cores. We put $20 million in upgrading our core products since we move in to ‘08. So that is far beyond just a people issue. Insufficient inventory caused us a hell of a lot of grief and that’s going to pay its way and as we move to the next couple of years, having a Senior Executive of planning and allocations, we will deal a lot better not only having the proper level inventory but the proper mix and that will materially improve profitability. So I do not think we do not have a lack of investments, so let us put it that way.
Brian McGoff – Morgan Stanley: Great, okay that is a great comment, thanks guys.
Fred Rowan: You are welcome.
Operator: We are going next to you Omar Saad, Credit Suisse.
Omar Saad – Credit Suisse: Thank you. Good morning.
Fred Rowan: Good morning
Omar Saad – Credit Suisse: Fred, you talked about some people investments and it sounds like despite writing off some of the goodwill associated with OshKosh, you guys are really sticking to it and believe in the brand long term. Do you have an opportunity to put in some leadership in a kind of top level of president of the OshKosh brand to really give it the focus that it needs from a long term basis, someone is devoted to the brand or you are going to kind of continue to manage it the way you have been the last 6 months to 12 months?
Fred Rowan: We are going to put somebody over that business, so we are getting very close to making that move. I prefer not to say anything but we are just weeks away and we feel that will help materially because there are just a lot of things that needed to be looked at other than just better product and better pricing. There are lots of issues like branding and just administratively that will help strengthen the office area so we are getting ready to do that. We have not lost fights in OshKosh, you know. If anything, our research that we have done sas reinforced the power of the franchise with the consumer and as Mike mentioned of the new positioning should be material. It is just going to take some time here. We know spring and summer better but we have to make up some grounds so I would not get too anxious about it. We are heavily in the Fall product development and we are all micro involved in that process. We are encouraged that at fall ’08 will be even stronger. So we are optimistic there and we are going to put somebody over.
Omar Saad – Credit Suisse: Excellent, okay that is helpful to know that. In terms of a comment that was made at the beginning, I think it was Joe,and Fred this was one of the goals you highlighted at the opening statement. One of your goals has been to improve the product margins and profitability for the retailers and you talked about being able to do that as well as improving product profitability for Carter’s and being able to get leverage in your sourcing and the structure, can you talk about how you are able to pull that off in this kind of environment where a lot the input costs are rising and there are some wage inflation in the far East? How are you able to get leverage in the sourcing and the product cost that you are developing in this kind of environment?
Fred Rowan: As Joe said, the whole focus is to get the product and the price right and so that there is no question we are going to be much more competitive in terms of our product benefits and we have adjusted the prices in a way to improve the profitability for retailer and we are doing that so we can improve our own profitability because the product will sell better and you have less end of season markdown support. We continue to see good progress on the sourcing side of our business and there is no question costs are increasing in China but we only have about 50% of what we do in China. We continue to narrow the vendor base. We are giving more volume to fewer vendors. We are moving more to vertical suppliers who have higher efficiencies and lower costs. We are building our capabilities in other parts of Asia, places like Malaysia, India, and Thailand who has had a very good performance in our sleepwear business in Cambodia and Vietnam. We are connected as the top with Li & Fung. We have met recently with William Fung, who has been a terrific adviser to us in terms of how to continue to leverage our significant unit volume to get better prices. I would say again, based on spring visibility or spring visibility and early summer I would say, in every case where we have lower prices, our sourcing group has been able to fund that with lower product cost.
Michael Casey: I think it also starts with the product market scope. We are reducing fabrics 20-30% on some of these lines, reducing the amount of style and colors and coupled with our combining top line revenue we maybe increasing some styles and colors 20%. So we are going there with a lot of volume leverage by reducing some of that complexity.
Omar Saad – Credit Suisse: Okay, but you are not taking quality out of the product?
Fred Rowan: No.
Omar Saad – Credit Suisse: Stitching or quality of the fabric.
Michael Casey: No we are very careful about that.
Omar Saad – Credit Suisse: Okay, and then, last question. The retail composition of Carter’s business, you know 4% you guys had talked about 1 to 2%, came in better. What are you seeing out there with weather, how is weather impacting your business; you know kind of, the colder, the winter product, fall, winter product, versus some of the lighter product. Are you seeing an impact in the business?
Fred Rowan: One of the reasons we do not give monthly comps is because it can be affected by weather patterns. So we do it on a three-month basis. We do see weather and probably, with the global warming, you need to be a lot more sensitive to summers are longer, longer springs are earlier. So we do take that account with it. They are mixed, and some pull a short sleeve or long sleeve and certain reasons, you know, we target the southern regions with more appropriate products. So, that becomes more important.
Omar Saad – Credit Suisse: Okay, but it doesn’t sound that you are seeing a tremendous impact from the warm weather and at least you hadn’t through September.
Fred Rowan: No, I would say tremendous. We have a big effect when there is a monstrous snow storm in January. Or you know a light storm in March. Those things you never can predict.
Omar Saad – Credit Suisse: Got it, got it. Okay, thanks guys.
Fred Rowan: You are welcome.
Operator: We will go next to RJ Hottovy, Next Generation Equity Research.
RJ Hottovy – Next Generation Equity Research: I just wanted to ask just one big broad-based question here about some of the retail improvements that you have outlined over the last couple months here and just get an update on some of the progress, namely, how customers are reacting to some of the better pricing clarity messages you put in the stores as well as the update on the customer loyalty cards and then just one quick follow up after that.
Fred Rowan: Okay. You know, we are starting to see some good successes in OshKosh and start building a baseline which has been, you know, even though the overall is not good, putting some of these key items, like boy’s denim, sweats, tees, we are starting to see the key items, definitely led by boys performing well. So, that is really helping us build a baseline for the future. So that price clarity is going for the right price and staying there. Also, I think, next year we are having a lot of opening price point products to the mix, that we did not have this year. So, if you walked in our store, you probably saw a T-shirt at OshKosh $16.00 with 30 to 40 off , this year, you will see two for $12.00 T-shirts, two for $15.00 T-shirts. So, each classification, we have had a significant opening price point products. So that and we think approximately 70 % of the mix could be an everyday low pricing and/or a 2-for pricing compared to 30% off the T-shirts, so we are very pleased with that. The second question on the loyalty program, you started it, we definitely believe, if probably we have a list right now, it is probably 15 to 20% of our customer based, we know from past experience the potential could be 50% or 55% of the mix. So, I think it is too early to comment on results but we know these customers spend more and that we really hav, Jim has a lot of experience in this area a couple with our new VP on marketing. With that I think this will be a plus going forward.
RJ Hottovy – Next Generation Equity Research: Fair enough. My second question just has to do with essentially the plans for Black Friday this year compared to the past years. You know talking with Jim it sounds like you guys have really put a priority on this for this year. Just a sense of what your expectations are there?
Fred Rowan: We definitely will be better than we were the year before. We are much more prepared from inventory and promotion and Black Friday. So, to tell you what is going to happen, I do not know. But we are much better prepared, so we expect it to be better.
RJ Hottovy – Next Generation Equity Research: Okay, thanks guys, good luck.
Fred Rowan: Thank you.
Operator: We will go next to Margaret Mager with Goldman Sachs.
Margaret Mager – Goldman Sachs: Just a couple of questions, could you talk about why is it that the Carter’s wholesale business is growing as much as double digit when the customers that you sell to are not growing double digits, so how is that happening? And then in your Royalty business what is driving that, that has been a strong part of the business so what are your best licenses and can you talk about your Wal-Mart strategy and what is happening there given that they are making some changes in their business and also experiencing traffic challenges. So are you still rolling out playware in Wal-Mart or what is happening in that piece of your business? Thanks.
Fred Rowan: I will answer the first one with Carter’s wholesale. Number one, I think some of our customers and our top three customers are really high gross retailers. I think you look at Kohl’s opening stores, JC Penney opening stores, and Babies “R” Us opening stores is definitely a plus so we still think Kohl’s is a big opportunity, committed to brands. I think you have to be a top one or two brand to do well with these people but I think that is what we have. We have the top potentially, the top two brands so we still only have a 7% share in the Carter’s in 0 to 7. We are making, as Mike said, more investments on the Marketing side of the business in the fixturing next year and advertising so, and we are increasing our customers’ profitability. So if you are delivering volume and increasing the profitability and making the investments, I think we are good partners so have we proven it over a period of time and they continue to support us for that. I will let Mike talk about the Royalty. Mike do you want to talk about the Royalty?
Michael Casey:
, :
Freder Rowan: And Margaret Allen at Wal-Mart and I think we have talked about a little bit, part of it we both need to get better. Their business has been tough. They have been lowering inventory requirements and we have had a couple of products that we are not pleased with the performance so we got aggressive. We are addressing those whether through elevated product, getting the products to the right prices, getting the inventories in line is not an issue for us because I think we did really well at that. As far as the potential, again we have got a playware rack I think for the first half of the year and there is a lot potential with that. I do not think we can comment on that. It is more of a second half wait issue there if we get an additional playware there but plenty of opportunity. We have 5 or 6% share in the 0 to 7 business so the lack of opportunity.
Margaret Mager – Goldman Sachs: The Wall Space that they have assigned to Child of Mine brand, that is consistent. It is not being changed, is it?
Fred Rowan: No, it is not being changed.
Margaret Mager – Goldman Sachs: Do you have different design teams for Child of Mine, Just One Year and the Carter brand, is it a different product team?
Fred Rowan: Yes.
Margaret Mager – Goldman Sachs: Okay, all right and then last just follow up on the whole set piece for Carter’s if you will look at it on a comp store basis are you compingg positive at Penney’s, Kohl’s and Babies “R” Us and then separately, Macy’s has really gotten much more aggressive about brands that are sold in those competitors need to be their position with that brand. Are they doing that or is there any discussion along that line at Macy’s that they are not happy about you selling at Kohl’s and Penney’s? Thanks.
Michael Casey: As far as you know, I would say our growth with these guys exceeds or matches their comp store’s growth so definitely Kohl’s, Penney. Federated, they are always going to want exclusive and we understand that. We are trying to partner with them to make it, but it is, we are planning that business down a little bit. I think it was down last year. We have planned it this year. We do have a couple displays with them. We just put in a new shop on 34th Street. I encourage you to look at it so there is a will there, we just need get it, again we are not doing as well as we could there but we just put in this new shop which I think will bode well for our performance of a couple of weeks that is really good so we will see where will go from there.
Margaret Mager – Goldman Sachs: Okay, I want to wish to the best of luck going forward and let you know that it’s been fun covering you and a highlight of my career as GS that we were able to take you in public back in the days so, you done a great job since then and keep it up going forward.
Fred Rowan: Thank you Margaret.
Margaret Mager – Goldman Sachs: Take care everyone.
Fred Rowan: Good luck to you.
Operator: We will go to Robert Jordan Morgan Stanley.
Robert Jordan: Yes, on your last conference call you talked about your repositioning of the OshKosh brand and you mentioned sort of somewhere you mentioned Children’s Place, you mention GAP and for my mind its kind like Dodge and I don’t know Volvo. If you could talk a little bit more about OshKosh brand and also how you are protecting the brand value to your retail partners that you sell to wholesale as you are moving towards this everyday little pricing and 2-fer selling on the outlet side. Thank you very much.
Michael Casey: What we did with OshKosh, we positioned the product benefits and the prices too high and which we started in fall’06 and that continued until we got an opportunity to reposition for spring. But we did not reposition to both GAP and Children’s Place. I do believe GAP is a Volvo but you have to have to call or reposition more like a Honda’s. It’s a very valued price, super quality and terrific cool items, so we are not positioned directly at Children’s Place but we have a lot more competitive prices. And we take a lot of bells and whistles off and made it not so fashionable as it was so we are right in line. We have run this through consumer panels, we have run it through our research with the stocks threshold studies and everything it is confirmed that our positioning is right. We are confident that OshKosh is positioned well.
Robert Jordan: And can you remind me this key overlap between what you are selling retail and what you ultimately sell in the outlet is first its made for outlet on the OshKosh line. Thank you.
Michael Casey: I think as far your earlier question about the opening price and everyday look. Most of that is really done on the categories that would compare to the retailer’s private label. Not really compared to the brand. We don’t carry those products in wholesale you will have a T-shirt, these opening price T-shirts really we got to have a second pair of T-shirts that you would find in Kohl’s and possibly in our stores. And those are priced comparatively. So as far as overlap I will probably say about half the mix falls probably 40-50% of the mix will be overlapping.
Operator: We will go next to Jim Chartier with Monness, Crespi.
Jim Chartier: Good Morning, just a quick question. Just curious about your guidance for retail comp sales, given you have got an easier comparison from fourth quarter of the last year, why are you expecting a slowdown in fourth quarter this year from third quarter?
Michael Casey: I would not characterize this as slowdown. I do not think this is the environment to be bullish on. We are focused on having positive comps on Carter’s and hopefully starting that positive comps on OshKosh beginning next year.
Jim Chartier: Okay, thank you.
Mr. Michael Casey: You are welcome.
Operator: Having no further questions, I would like to turn the conference over to Mr. Rowan for any additional or closing comments.
Fred Rowan: I want to thank all of you once again for your attendance and questions. We really do appreciate the quality of those. I would only say in closing that our company is more energized and more focused than ever. We are certainly more talented and we are investing not just in the short run but our investments are geared so we can guarantee that we are going to have a continuation of a high growth company and also management, the key management of this company is very invested so you should take great confidence in that we are energized to do well for our shareholders. We look forward to our next call. Thank you.
Operator: This concludes today’s Carter’s conference call.